Operator: Ladies and gentlemen, welcome to the Preliminary Full Year 2024 Analyst Call. I am sorry, the Chorus Call operator. I would like to remind you that all participants will be in listen-only-mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Veronika Endres, Head of Investor Relations. Please go ahead.
Veronika Endres: Good afternoon, everybody, and welcome to Hensoldt's full year 2024 preliminary results call. Thank you all for joining us today. I'm Veronika Endres, Head of Investor Relations at Hensoldt. And with me are our CEO, Oliver Dörre; and our CFO, Christian Ladurner. Oliver and Christian will guide you through this presentation today, which, as always, is followed by a Q&A session. And with that, I hand over to you, Oliver.
Oliver Dörre: Thank you, Veronika, and a warm and cordial welcome to our valued investors and the analysts covering the Hensoldt stock. In this first part of the presentation, I will give you an overview of the many business and strategic milestones that we have achieved in 2024 and that have laid the foundation for us to deliver on and above our guidance. Christian will then lead you through the details of the financial section before I will dive deeper into the current strategic and political landscape that will shape our growth for the next decade. But first things first, let's have a look at our financial highlights 2024. Our book-to-bill has further improved to 1.3 times. Our order intake in 2024 exceeded our expectations and is a testament to a significant and sustained market growth driven by robust demand to enhance defense capabilities in Germany, in Europe and around the globe. It is important to note that we see structural growth across all divisions, including the business of ESG that we have integrated now into our Multi-Domain Solutions division at the beginning of the year. Revenues came in at €2.24 billion due to significant market dynamics, especially in the last quarter of 2024. Profitability continues to be benchmarked, reaching a 19.4% adjusted EBITDA margin before pass-through, underlining the strength of our pure-play defense electronics business model. Cash conversion was also excellent with an adjusted free cash flow of €249 million, allowing us to delever ahead of guidance. In summary, our 2024 figure show that our investment case remains exceptionally strong. Market growth is significant and sustainable. Our technology stack is ready for the upcoming era of software-defined defense. Political support in Germany remains strong. Internationalization is picking up pace. And the Hensoldt management is fully committed to take this company from great to excellent and to continue delivering on our promises. You may remember this slide from our Capital Markets Day last year in December. It charts our key strategic initiatives launched in 2024, and I'm proud to report that we have achieved significant milestones in all of these initiatives. We are making great strides in operational excellence and have significantly ramped up our production both in the Sensors and the Optronics segment. We are aware that scaling and industrializing production remains a complex undertaking, and we put a good portion of our management attention to this topic. To further grow with focus, both domestically and internationally, we have adapted our sales and business development setup and will implement a strong key account structure around our main governmental industrial customers by mid of this year. Digitalization stays high up on our agenda with a clear road map to become a truly digital company in line with our ambition to pioneer software-defined defense. To this end, we have initiated a number of digital initiatives, and we are closely monitoring our ERP transformation, which is on track. The integration of ESG was completed only 9 months after closing with the rollout of the Hensoldt brand to all ESG sites in January of this year. The need to properly integrate the business of ESG triggered our new divisional setup, focusing on the three key pillars of our business, products, solutions and services. We have completed this reorganization by end of last year and went live on 1st of January 2025, establishing a cornerstone for sustainable and accelerated growth in the years to come. And we have set our sights on the future of Hensoldt, establishing a new growth formula and four strategic axis of our North Star vision, which we presented to you in detail at our Capital Markets Day in December. In summary, I'm proud to report that we have advanced on all our strategic initiatives in the past 12 months, and I would like to take the opportunity and thank the teams for driving all these initiatives in addition to our ongoing strong operational business. As a result, our path towards Hensoldt 2.0 is fully on track, and we intend to finalize this transformation in the course of the year. Let me circle back for just a minute to recap on the four strategic axis of our North Star vision. North Star has been developed considering the most critical expectations from our Hensoldt customers, shareholders and employees. Guided by North Star, Hensoldt is transforming to take on new responsibilities as reliable industrial champion, pioneer of software-defined defense, a mission operations partner and becoming the German champion and European challenger with global reach. The North Star strategic vision guides us through our next stage of growth. It is built around four strategic axis. It starts with our commitment to grow with focus. We will continue to deliver sustainable and profitable growth in Germany, Europe and selected international markets as the leading platform independent defense electronics partner. The foundation of this focused growth is to deliver at scale. We will sustain our activities to achieve the step change in operational excellence to meet volume and performance requirements. Moving ahead, our ambition is to pioneer software-defined defense. We will digitize and enhance platform independent core products, become an integrator of multi-domain data-enabled solutions and expand into new data services. All of this is enabled by our team, which will lead - we will lead into the future. As a one handful team, we will become a unique employer of choice in our sector. North Star also gives us clear direction to build the critical capabilities that we need to succeed, industrial and operational excellence, digitalization and data, new business models, agility in our operating model, a structured go-to-market, defense ecosystem leadership, as well as enhanced and new partnerships. Dear analysts, ladies and gentlemen, I mentioned on the previous slide that delivering at scale is the foundation of our growth strategy, achieving a step change in operational excellence to meet volume and performance requirements of our customers remains key, and we have selected four examples to illustrate our operational achievements in 2024. The Eurofighter MK1 Radar won in 2020 and worth €1.5 billion is the biggest contract in the history of Hensoldt, and we are progressing in hardware development with a critical design review of the multichannel processor completed last year. We are now entering a phase of intensive testing, which will be accelerated by a special test bed aircraft where the nose of a Eurofighter has been fitted to an Airbus A320. Continuing with large contracts, we have successfully completed the first flight of the modified Pegasus aircraft last year, paving the way for integration of the SIGINT mission system over the next years. We are also making great progress in our digital sites development with the delivery of a weapon optronic sensor to KNDS end of last year. A key enabler to ramp up our production capacity to answer the increasing demand of our customers is a new 30,000 square meter logistics center where we centralized logistics operations for our sites in Southern Germany. After going live last year, we will ramp up logistics operations from the new center to full capability during the second quarter. In summary, I can state that we have increased the displacement of our operational engine significantly in the past years and even added a few more cylinders. We are now revving up this engine to get all the horsepower on the road. As mentioned earlier, order intake in 2024 exceeded our expectations, and we see structural growth across all divisions and increasing contribution from European customers. Radar continues to drive our growth with significant orders for TRS and TRML-4D and Spexer reaching together almost €800 million. The long-term services business of ESG contributed another €100 million to our order intake for the operation of the German Armed Forces central spare parts logistics. In the Optronics segment, growth was mainly driven by ground-based systems for armored vehicles and our Periscopes and Optronic mast system business. The ZEBEL, FFM business, where we provide high-end measurement technology for semiconductor manufacturing continued to be a reliable and significant contributor to our order book. And on this very positive note, I would like to hand over to Christian for a deep dive into our 2024 financials. Christian?
Christian Ladurner: Yeah. Thank you very much, Oliver, and I'm happy to provide you now with details on our preliminary results for the financial year 2024. As a CFO, I'm very proud of the excellent performance we have achieved again in the past year. We did not only deliver on, but even exceeded most of our guidance KPIs in 2024. Let me start with the top line. Driven by the continued momentum in Q4, order intake summed up to a very strong figure of €2.9 billion. This marks a substantial increase of nearly 40% year-on-year. With a book-to-bill ratio of 1.3 times, we have thus substantially exceeded our guidance for 2024. Organically, orders increased by 18% and were driven by the NNbS Air Defense System, TRML-4D [ph] and Spexer radars, as well as the Leopard 2 and our FFM business in Optronics. ESG also contributed strongly to our order book with €438 million, for example, the ZEBEL contract mentioned earlier. Overall, distribution of incoming orders was again regionally well balanced between Europe, excluding Germany, accounting for around 40%. This also reflects the rising European defense budgets in our order book. Revenue increased in line with market dynamics by 21% to €2.24 billion, representing a core revenue growth of 9%. Main drivers were air defense, especially our TLM-4D radar, but also our baseline business, as well as the strong performance of the German optronics business contributed to the solid results. ESG delivered as planned, too, with sales of €289 million. The level of pass revenue further decreased by 22%, resulting in an improved quality of revenue. Compared to previous year's period, order backlog increased by more than €1 billion to a new record high of over €6.6 billion. This corresponds to around 3 times of revenue in 2024 and hence, continues to provide us with an excellent revenue visibility. The strong performance of our top line is also reflected in excellent development of our profitability. Adjusted EBITDA increased by 23% to €405 million with an adjusted EBITDA margin of 18.1%. Excluding pass-through, the margin amount to 19.4% and therefore, exceeded the upper end of our guidance of 19%. The excellent performance was driven by economies of scale realized in our radar business and the strong contribution of ESG, where we successfully realized first cost synergies. And at this point, let me highlight that our group margin almost reached the same level of last year despite the dilutive effect of ESG. Adjusted EBIT grew by 20% to €295 million, also benefiting from volume effects and economies of scale. At 13.2%, the adjusted EBIT margin is also at around previous year's level. Cash generation in 2024 was excellent with an adjusted free cash flow of €249 million, marking a strong increase of 26%. With a cash conversion rate of 62%, we were also well above the upper end of our guidance of 60%. This was achieved by a strong operating cash generation and a solid contribution of ESG. In addition, investments in our growth were well balanced by advanced payments received. To conclude, our overall performance was excellent and exceeded our guidance. Let's now have a look at our segments. In the Sensors segment, we realized a strong order intake with an increase of nearly 40% compared to previous year. In total, orders in this segment summed up to more than €2.2 billion. Organically, order intake increased by 12%, driven by NNbS, TRML-4D and SPEXER radars. And also ESG contributed strongly as described earlier. As on group level, the distribution of incoming orders was well balanced between Germany and rest of Europe. Revenue in the Sensors segment increased by 23% to €1.9 billion. Key drivers were a strong baseline business, as well as further accelerating dynamics in Air Defense, leading to a robust organic sales growth. ESG contributed strongly to group revenue, as mentioned, and as planned, pass-through revenue further declined and amounted to €150 million. The margin development in Sensors was excellent with a 25% increase in adjusted EBITDA to €381 million. This was driven by higher volumes and economies of scale in the radar business, especially TRML-40 and the successful realization of first cost synergies at ESG. For the second year in a row, Optronics achieved a record order intake with orders summing up to €740 million, which corresponds to an increase of 45% compared to previous year. This was driven by the German entity with a substantial growth of 47%, as you can see on the slide in dark green color. Key drivers were the Leopard 2 tank [ph] for Germany and Norway. Sensor upgrades for the Fennek reconnaissance vehicle, Periscopes and Optronic Mast Systems for the U212 [ph] as well as our high-performance optics FFM. Revenue of Optronics has crossed the inflection point and returned to a strong double-digit revenue growth again. This was boosted by the excellent performance of the German entity, which realized revenue growth by nearly 30% Main drivers were the increased production units in ground-based systems and high precision optics FFM. As you can see in light green color, the performance of the South African entity was muted. While achieving slight growth in order intake, revenue development was still affected by the ongoing technology change and realignment of market strategy. Adjusted EBITDA at Optronics amounted to €24 million. Despite the ongoing ramp-up of production and investments into the digitalization of portfolio, the German entity achieved a margin improvement and realized a 30% adjusted EBITDA growth, while profitability of the South African entity was affected by lower volumes. From 2025, we expect our implemented action plan to yield first results. With a record order book of more than €1.2 billion, we have set the basis and excellent visibility for a smooth and sustainable revenue growth in Optronics in the years to come. The move to the new Optronics campus in 2025 will further support this. To handle the move to the new site in a smooth way, we are proactively taking various measures such as preproduction. However, a certain downtime of production will be inevitable, and it will take time until production will be in full swing. Therefore, we expect growth to be rather back-end loaded. Moving on, I would like to give an update on our net debt development. Over the past years, we have continuously reduced our net debt. After taking into account the closing of the ESG acquisition last April, we targeted a net leverage of 2024 of around 2 times and further specified in our 9M analyst call to lower or equal 2 times. I'm very pleased that we have outperformed this target significantly and achieved a net leverage of 1.6 times at year-end 2024. This underlines our highly cash-generating business and our ability to further reduce net leverage following the acquisition. As a result, we have improved the interest rate of our senior facilities agreement and are now in the lowest interest margin group. To sum it up, Hensoldt is in excellent financial shape with a conservative balance sheet in place. Let me now present to you our dividend proposal. We have guided for a payout ratio of up to 30% to 40% of the adjusted net income 2024. In line with our strong operating performance in 2024, adjusted net income increased to €185 million. Due to the excellent business performance and strong cash generation, the Management Board intends to propose a dividend per share of €0.50 to the Supervisory Board and the AGM. This marks a 25% increase compared to the dividend in 2023 and corresponds to a payout ratio of 31% of adjusted net income 2024. Looking ahead, I would like to present our updated guidance to you. Before I dive into the details, I would like to briefly comment on the current dynamics around defense spending across Europe. Let me point out that our guidance is based on currently officially approved budgets. For Germany, this corresponds to a defense spending of around 2% of GDP. Further budget increases that are currently in discussion will definitely lead to a tailwind. However, it would be too early to define the potential in more detail as this also depends on the concrete allocation of budgets. Turning now to our guidance for the current financial year. First and foremost, we are pleased to confirm and partly raise our guidance for 2025. Starting with the top line. We continue to expect strong order intake performance and are specifying the guidance for a book-to-bill ratio to around 1.2 times in 2025. For revenue, we are specifying our guidance to a range of €2.5 billion to €2.6 billion. For adjusted EBITDA, we raised our margin guidance. At the same time, we are simplifying the definition of this guidance KPI. From now on, we will switch to adjusted EBITDA margin as our new KPI, replacing the previous definition, which excluded pass-through revenue. This is driven by expected further decline. We forecast an adjusted margin for EBITDA of around 18%. According to our old definition without pass-through revenue, this would correspond to a margin of around 19%, hence, above our previous guidance of 18% to 19%. And let me point out once more that despite the slight dilutive effect of ESG, we are confident to reach this high level of profitability. For adjusted free cash flow, we expect a continued strong performance with an unchanged cash conversion target of 50% to 60%. Net leverage is expected to around 1.5 times. This is due to an increase in lease liabilities as a result of the move to the new Optronics site in 2024. Apart from this accounting effect, our net leverage would decrease even stronger, as you can see on the slide in the backup of this presentation. The dividend payout ratio will continue to be between 30% to 40% of adjusted net income. In a nutshell, in 2025, we expect a continued high demand for our solution, resulting again in a strong growth of order intake, as well as solid revenue growth paired with an excellent profitability. Before moving on to our medium-term targets, please let me also give you some color on the business profile that we expect in 2025. The coalition building process in Germany has now started, and it can be expected that it will take a few months before the new government will be fully operational. We anticipate that this will affect timing of orders and revenue inflow from Germany and lead to shifts toward the second half of the year. As Oliver mentioned before, we will ramp up the new logistics center Laichingen to full capacity within the first quarter. This will temporarily affect production and will lead to some revenue shifts in the following quarters. As a result, we expect a softer Q1 than in our regular business profile. Despite the issues we faced during go-live, we are convinced that building to the new logistics center was the right decision in order to meet the increased demand of our customers. With the new logistics center in place, we are able to secure our material supply not only today, but also in the future. Together with the ongoing move and ramp-up of Optronics in H1, we therefore expect phasing of our targeted growth to be more weighted towards the second half of the year. But please be ensured that these effects won't impact our full year guidance. We are convinced of a sustainable decade-long growth potential that lies ahead of Hensoldt. This is reflected in our confirmed medium-term targets, which you can see on this slide. In the midterm, we expect high order intake to outpace revenue growth, leading to an average annual organic revenue growth of 10%. Following the simplification of our margin guidance, we expect an adjusted EBITDA margin of around 19%, representing a confirmation of our previous target of adjusted EBITDA margin before pass-through of around 20%. With continued strict working capital discipline, we will generate an average adjusted free cash flow conversion of 50% to 60% so we will continue to be able to pay out 30% to 40% of our adjusted income to our shareholders, while maintaining a conservative financial profile. Going forward, our priorities for capital allocation remain unchanged. First, fueling the growth. Our main focus is to further drive our transition towards Hensoldt 2.0 and support upcoming growth through investments in our workforce, our technology and our IT systems. Second, sharing the growth. We want our shareholders to participate in our growth through dividends, maintaining a payout ratio of 30% to 40% of adjusted net income for 2025 in the medium term. And third, strategic acquisition. Also after the acquisition of ESG, we continue to be in a strong position to play an active role in European consolidation. We will consider acquisitions that make strategic and economic sense, gaining access to relevant technologies or growth markets. Our financial policy defines a clear view on value-accretive M&A. Last not least, we are adhering to a conservative financial debt profile and medium-term dividend payout guidance. Coming to a conclusion, let me mention the following key financial takeaways. In 2024, we have achieved an outstanding performance that will form the basis for another successful year 2025. Driven by substantial order intake across all divisions, our order book reached a new record high. This continues to provide excellent visibility for the years to come. We achieved a strong top line performance in line with the market dynamics and are excellently positioned for sustained long-term growth. Profitability remained excellent with an outstanding adjusted EBITDA performance, while further investments in our technology will enable us to maintain our leading market position. Liquidity is in excellent shape, and thanks to the strong cash generation, we have deleveraged ahead of plan. We have raised our full year 2025 guidance for the bottom line and are well on track for our medium-term targets. And last not least, we will continue to let our shareholders participate in our growth with a proposed dividend increase of 25%. And with that, I'm happy to hand back to you, Oliver.
Oliver Dörre: Well, thank you very much, Christian. And before we conclude, I would like now to take a look at the current political and geostrategic landscape, which has seen a tectonic shift of unprecedented scale in the past couple of weeks. The speech of U.S. Vice President Vance at the Munich Security Conference, which I attended personally marked only the first stage of a watershed in the Transatlantic relationship. The current initiative of the U.S. administration to end the war in Ukraine through direct negotiations with Russia, excluding both Ukraine and Europe, shows a dangerous clash of cultures in the Western Alliance. At the same time, the Danish Military Intelligence Service has released an assessment that with the frozen conflict in Ukraine, Russia will be able to launch an attack on neighboring country within only 6 months and wage a regional war in the Baltics within only 2 years. Already today, we see the hybrid war in Europe intensifying. The Russian shadow fleet is damaging data and power lines in the Baltic Sea. We see acts of sabotage in military installations and very recently on vessels of the German Navy, cyberattacks have further increased, targeting, for example, the university of the German Armed Forces in Munich. As a consequence, it is clear that Europe must take responsibility for building a self-sufficient deterrence and defense capability. This requires an increase in defense budgets to at least 3.5% of GDP for all NATO allies to address the multibillion euro capability gap. First, signals from Brussels to exempt defense spending from the debt ceiling are encouraging. Our industry needs long-term sustainable commitments covering an 8 to 10 years time frame to secure further ramp-up of production and technology developments. With our strategic vision, North Star, we are right on track to support the push for more European sovereignty in defense. Demand across Europe, especially in air defense, is progressively increasing, and we are ready to deliver at scale. Our armed forces need both mass and class in their equipment. Digitalization is a strategic enabler. And as a pioneer of software-defined defense, we can be a premium partner. Let me now provide you with our brief analysis of the parliamentary elections in Germany that took place last Sunday. With 28.5% and 208 seats in the parliament, CDU CSU led by Friedrich Merz became the strongest party by clear margin. Friedrich Merz has announced that he will now swiftly form a new federal government probably by mid-April. Right-wing AfD gained 10.4% and achieved 20.8% of the vote, becoming the second biggest political force in Germany. With 8.8%, the Left Party is the surprise of the elections and has won over young voters particularly. With SPD coming at 16.4% and the GRÜNE's [ph] at 11.6% and both FDP and BSW not passing the 5% threshold, 3 coalitions are mathematically possible. CDU, CSU and AfD have the clearest majority with 360 seats, but Friedrich Merz has strictly ruled out this option. Hence, CDU, CSU and SPD also have a majority with 328 seats, and this option is currently most likely as CDU and particularly CSU intend to avoid a coalition with the GRÜNE's. Exploratory talks or coalition negotiation will follow quickly. The start of these possible exploratory talks and coalition negotiations is initially subject to the state election in Hamburg next Sunday, before which the parties will still have to define their positions. We, therefore, do not expect to see any real talks until week 10. In summary, the results of the parliamentary elections in Germany indicate a stable 2-party grand coalition, and we expect the formation of a new government around Easter. The highest priority of the new government will be the release of the 2025 federal budget, laying the foundation for continued investments in defense. Recent media reports on a new €200 billion special fund are encouraging and further proof that the next German government is fully committed to invest in defense. Dear analysts and ladies and gentlemen, coming to an end, let me have a brief look at some key orders that we expect this year. We will again see a strong contribution from both segments and all divisions. A large portion of the Eurofighter contribution to our order intake is already in the books with a recent €350 million contract on further capability enhancement for the Mark 1 radar booked in January. With the ongoing search for air defense, TRML-4D and SPEXER will continue to create significant orders, both within the European Sky Shield initiative and beyond with national customers. Ground-based systems will grow with the rising demand for armored vehicles, and we are also looking outside of Europe, where a second phase of the land border surveillance system in Algeria is currently under negotiation. To summarize today's full year 2024 results presentation, here are my key takeaways along our four strategic axis. Hensoldt will continue to grow sustainably and profitably with rising budgets in Germany and Europe, and our push towards internationalization will complement and further accelerate our growth. We have robust action plans in place to sustain operational excellence to meet the volume and performance requirements of our customers. Our midterm growth will be driven by our ambition to pioneer software-defined defense. We have launched initiatives to digitize and enhance our sensor products to become smart and connected. We will grow into becoming an integrator of multi-domain data-enabled solutions, and we will expand into new data-driven service models. The prerequisite for all of this is a skilled and motivated team. In 2024 alone, we have hired around 1,000 new colleagues and are very successfully in both recruiting and retaining top talent. Let me use this opportunity to thank all Hensoldtians for their fantastic commitment and hard work, making 2024 last year another benchmark year for our company. And on this note, I would like to open the round for questions. Thank you very much.
Operator: Thank you very much. We will now begin the question and answer session. [Operator Instructions] The first question comes from the line of Poulain Aymeric, Kepler Cheuvreux. Please go ahead.
Poulain Aymeric: Yes. Thank you very much for taking my question. At the CMD, you indeed flagged a 10% kind of linear organic growth trajectory using 2% of GDP, and you reiterated this guidance today. And yet, as you mentioned, there are quite a lot of change in the European budget, including Germany with the €200 billion special fund that will be added to the €100 billion special fund. So what's your best guess of when you'll be able to raise that organic growth guidance? And where do you see German budget ending at in 2030? Should we expect 2.5% or the 3.5% that you mentioned earlier, so just to clarify. And also, assuming you get this type of significant acceleration of budget across Europe, how fast can you scale up to meet the demand? Thank you.
Oliver Dörre: Well, thank you very much, Aymeric. I try to cover that one. And of course, Christian, more than happy to get your support. So first part of the question, and I think you should know us by now. And what we present today is really sticking to our traditional line remaining conservative. Christian said it very clear. The current planning and guidance reflects the 2% investment, which I think we can count on based on the real numbers that are committed in budgets. Indeed, at the moment, we see very confidence building, promising discussions, not only in Germany, where, as I had announced before, I'm still confident that we will see the increase. And so far, I always said it's about the discussion on how would we actually cater for such an increase. And at the moment, and that is the confidence building part, we are getting more and more concrete, be it a €200 billion, another €200 billion extraordinary budget, be it an exempt of the debt break in some parts or at least also facing this €35 billion gap starting 2028, how would we increase the annual budgets. So that is in Germany. At the same time, attending the Munich Security Conference, we had the President of the Commission, Ursula von der Leyen speaking. And it was the first time she also raised that point to exempt the stability criteria for the sake of defense spending in Europe. And due to media news that we read today, she is also getting more concrete on raising really EU defense fund, which would especially be focusing on air defense, where I think Hensoldt is predestini [ph] to deliver. So we see these promising confidence building elements. However, we remain cautious and I would see in the second half of the year, coming concretely to your question, Aymeric, that in the second half of the year, once we have the new government in Germany, why these discussions, again, that are very promising start to concretize, we will, of course, revisit our planning and then review our guidance. The second question was about where is Germany heading. And indeed, if we consider a capability gap, which is assessed around €200 billion to €400 billion, we see that at least the German government discussing a €200 billion - another €200 billion extraordinary budget is in the ballpark of these capability gaps. However, what we need to consider another €200 billion investment will not purely focus on material. I think that is also about now bringing the operational cost high with all the investments under the €100 billion extraordinary budget that have been taken already. It is all catering for new personnel. We have discussions that probably Germany, including the reserve would increase the personnel structures of the German armed forces up to 500,000 coming from roughly 200,000 today. And that also has an implication for investing into infrastructure. So I think we have to consider that the spending that is in discussion at the moment will be more diverse, of course, the majority still focusing on capability gaps. And here, air defense also reflecting my discussions with the Germans and also European defense ministers during the Munich Security Conference, air defense is at the very top of the agenda, and that is building our confidence that we will take profit of that. So I think Germany, as most of the nations, and I keep on reiterating my call, and I think we see a tendency in going to 3% to 3.5%, especially under the assumption of this €200 billion, which are discussed at the moment. And the last question was, are we able to scale up? A very clear, yes. And that is what you are seeing at the moment, all the investments that we're taking, probably also a bit of the shortfalls in revenue is due to the fact that we are scaling. I used the picture of this engine. So we added the cylinders. We really scaled up our engine. At the moment, the rounds we are producing, and that is pretty normal. I mean, if you have to go 2 leaps forward, maybe sometimes it's a step back. That's what we're seeing at the moment. But this is the preparation of really scaling up and being capable having the capacity to deal with these increased budgets also sustainably in the future.
Poulain Aymeric: Thank you.
Operator: The next question comes from the line of Simon Keller, HAIB. Please go ahead.
Simon Keller: Hello, Oliver. Hello, Christian. Thanks for taking my questions. Firstly, assuming Germany would increase its budget by 50%, would your sales rather increase over proportionally or underproportionately, especially in light of, as you said, air defense being in high demand. But at the same time, maybe the air and sea domain generally being less relevant compared to the ground domain. So any color would be helpful. And then also on 2026, I assume this would be the first year in which you would see a sales growth acceleration from any potentially new budget. What would be the - in a blue sky scenario be the ability for you to ramp up production? Would it be 20% sales growth instead of 10% maybe? And thirdly, I have a question on Optronics, we saw that the German entity performed particularly well. And I was wondering how sustainable this 30% growth on a full year basis is going forward? What's your view here? And maybe it also helps to understand the '23 comparable base. How did the German Optronics unit perform in '23? Thank you.
Oliver Dörre: So maybe, Simon, I'll start with the first one. I mean, again, I would stick to the point. Let's do the math once the budgets are really on the table. And also, as you might know, NATO is currently really doing their capability gaps, which is a secret paper. However, the discussions around are revealing that air defense, long-distance strike, of course, drones, many of these elements are key capabilities where Germany, as well as most of the European allies have to ramp up. But again, we will do the math. However, the quick answer to your question is that we will take full profit of any increase in budget because the capabilities needed, the capability gaps that we are facing are pretty much in line with what Hensoldt is delivering to our customers. And probably one additional topic, leveraging also on our strategy of North Star pioneering software defense. I had a lot of engagement with NATO and also German generals during the MSC and a couple of events I attended recently. And they underlined our assumption that we will not be able - we, the European Union and the European allies will not be able to cope with the mass that the Russians are producing. I mean, Russia is aiming to go to €1.5 billion of soldiers, recruiting soldiers each and every day. They are creating tanks excessively. So for the European allies and for Germany, it will be about creating the quality, the class, and that is where we have set our focus as Hensoldt, and that is another element which builds my confidence that we can take full advantage of the ramping up budgets. And with that to Christian to go a little bit more in the figure part of it.
Christian Ladurner: Yeah. So to be clear, much of it is speculation. But as you have seen in 2022, when the €100 billion special fund was included, we always showed that approximately between the decision of a fund until the orders reach our books plus revenues is around 1 to 1.5 years. So if we now get a further acceleration during this year, it could be that in the last quarter of 2026, beginning of 2027, this will have a further impact, a positive tailwind, of course, for our revenues. How much, I'm honest at this moment, it's not very serious to calculate on that. With Optronics Germany, yes, you're right, 30% was an impressive number. I think that when we would be in a very stable environment that another 30% would be possible. Now we are moving to the complete new site. As we have indicated, we calculate currently with around 4 to 6 weeks downtime. And this is why I see a figure of around 20% - between 20%, 25% as realistic for this year ramping up. But you have also seen, Simon, that the order backlog is heavily increasing. So this will give us visibility for the years to come. In terms of margin, we were now at the segment of Optronics at around 7. I expect 2025 to go for 10. And then by 2027, when digitalization is fully done to further ramping up.
Simon Keller: Thank you very much.
Operator: [Operator Instructions] The next question comes from the line of Christophe Menard, Deutsche Bank. Please go ahead.
Christophe Menard: Yes. Good afternoon. Thank you for taking my question. I am - further to the point of higher defense spend. I just wanted to have your view or whether you've been challenged on the theme or topic of affordability in the discussion that you had so far. You're likely to produce a lot more equipment, but are governments already asking for cheaper equipment? Is it something that's cropping up? That was the first question. The second question is coming back to Optronics. Yes, indeed, sales growth has been very strong and EBITDA growth as well, same number. So limited operational leverage. Clearly, 2025 is a transition year. When do you expect that kind of strong operational leverage to start kicking in, in Optronics? Is it 2027, as you've just said? Or is it later? And last question is on ESG. I mean, correct me if I'm wrong, but I think you reached a 17% EBITDA margin in the year, which I think was above what I expected. Is it likely to continue that way, i.e., to realign with Hensoldt? I mean it's - we can't really talk about, it's a dilutive effect, but it's relatively minor at this point in time, I would say.
Oliver Dörre: Okay. Thank you very much. Christophe, I will tackle the first one and then hand over to Christian for the second and the third question. So far, Christophe, I don't see that affordability is not the key priority. As a matter of fact, I had intensive discussion, as I've mentioned, with 5 defense ministers during the Munich Security Conference. And the clear prioritization, the criteria they outlined with me for buying is quality. That's the first criteria where I think Hensoldt is strong. Second is time to delivery. We're actually facing a threat from Russia, especially looking at the Baltics Poland, and they see, and I mentioned it in our presentation, the threat emerging in the next 6 to probably 24 months. And that's why delivery times are key. And that's why we are putting so much emphasis on the operational excellence and really scaling our production. And price was only the third criteria they have mentioned as priorities for finding their suppliers. Affordability, maybe just a quick note is, of course, a topic which we look at. I mean, being high end, and we will continue that. But we see, especially in the drone markets that we are moving into, let's say, mass payloads and that is a specific topic that we address under our North Star activity, also looking at future M&A, where I think managing our portfolio forward-wise that we probably have to develop a better stretch between the high-end parts of our portfolio, which will remain key, but also some mass elements where we have good examples today already in our portfolio. Flight recorders is one example where we are really heading for smaller mass productive elements, and that is probably more a strategic element on affordability that we're addressing at the moment. With that to you, Christian.
Christian Ladurner: Yeah. Thank you for your question regarding Optronics. So maybe once again, what's happening? So we are moving 2025 into the new building. And as I've said, this will impact a little bit our performance for this year. Nevertheless, strongly increasing. And by 2026, this effect will then completely fade out. But what stays is the finalization of the digitalization. So the periscopes have to be ready for digital beginning of 2027. And this is why you see that in 2025, we will have this effect. In 2026, then I expect a further increase, of course, for margin, but still impact by digitalization. And from 2027, 2028, we have to be in a margin scheme we were used to in 2021 because then all the pre-investments we are currently taking will pay off. The question regarding ESG, you have seen, yes, you are correct, the calculations are good. There were mainly two impacts. The one is, of course, that our cost synergies turned in earlier than assumed. So this turned in very well and was before our calculation done. There is a second technical aspect, which you should keep in mind. We had only three quarters last year in mind. And as you know, in the defense industry, the last quarter is the most profitable one, whilst in the first quarter, you generate a few losses in preparing the ramp-up of the business in the last quarter. And this is why I going forward, expect for this year around 15% for the ESG business and then 16% in the years to come with the synergies allocated as described.
Christophe Menard: Thank you. Very clear.
Operator: The next question comes from the line of Carlos Iranzo, Bank of America. Please go ahead.
Carlos Iranzo: Hey, guys. Good afternoon, and thanks for taking my question. The first one is on the 18% EBITDA margin for 2025. I just wonder what is the implication for sensor margins in 2025? I mean you've been speaking about improving profitability on Optronics in 2025, probably the pass-through revenues should decrease in 2025. So is the revenue mix deteriorating slightly in sensors in 2025? Or do you plan to ramp up R&D investment significantly in sensors? What are the moving pieces?
Oliver Dörre: Hello, Carlos. Thanks for this question. Yeah, I've commented on the Optronics margin profile 2025, which will be from 7% to go at around 10%. And this leads us, of course, to the fact that we currently see a stable margin within the sensors business. And this is despite - this is due to the fact that we now have also to take some investments for having also the new generation then of TRML-4D in place. We were in the last 3 years earning lots of money with that. But now it is the period where we have to reinvest money into this technology. And this is mainly the reason apart from some mix effects in the business.
Carlos Iranzo: Okay. Super clear. And then if I may follow up, a second question on the order intake for 2025. I mean, it looks like if we assume 1.2 book-to-bill in 2025, then the 2025 order intake growth is going to be probably lower than your top line growth. So can you help us to understand this in the context of the orders that you expect in 2025, probably acceleration in orders from the initial special defense fund in 2025 and the comments that you made today highlighting that your guidance is predicated on 2%.
Oliver Dörre: Yes, Carlos. So first comment, 2024, I think, was excellent with all these dynamics in the last days of the year. I remember the 18th of December with 37 approval decisions were done at a record level in Germany. And for this year, then we guide for 1.2. Please do not forget, we have now - we had elections. Now there - it seems that we will have a coalition between 2 parties, but this will last a little bit. And this is why we see, on the one hand, order intake flowing in, in the second half of the year. But we have to wait a little bit here until we know more details how this is going on. If they are very fast, to be very honest, I see potential that we can go above this figure. If it lasts really long, then we should be in a range which we have guided. So this is, I would say, a small - a very small question mark regarding this year.
Christian Ladurner: So maybe to specify this a little bit more and make it more concrete for you, the bottleneck, so to say, is the Ministry of Finance these days because they have actually 3 elements to deal with. They have to finalize the budget 2025, which can go very quickly if they use the drafts that have been provided by the fading government. And we hope that this can be concluded prior to the summer break. But then at the same time, with the handicap of a couple of months, they have to build the budget for 2026, which is due to be finalized in November according to the normal cycle. And then they have to deal with the 25 million parliamentary approval documents, which, of course, are well prepared. So BMBW [ph] as we know, is using this downturn to ramp up and put all those approval documents into their draws. So I think we have a pretty good understanding of the orders that are on the table. But again, time is of the essence, and that is probably where around summer again, once we have the government, we can revisit the planning, do the math and look at it. So far, it's reflecting the conservative approach that it will be difficult with 2 parties that have been heavily opposing each other in the election campaign now switching to a mode where they work together.
Carlos Iranzo: Super Clear. Thank you.
Operator: The next question comes from the line of Sebastian Growe, BNP Paribas Exane. Please go ahead.
Sebastian Growe: Hey, good afternoon everybody. Thanks for taking my questions. It's two left. The first one would e around the '25 guidance and the related mix effects. Can you help us understand what has been driving the change in the margin guidance for '25? I mean it's only 10 weeks after your Capital Market Day in December. And more specifically, I would appreciate some more color around the Optronics segment in particular. So I understand that the mentioned downtime at the Oberkochen site is backed out of the guidance. So I would be mainly interested in an update with regard to what's happening in South Africa at this point? And did I hear correctly, Christian, that you aim at a 10% margin in the segment in '25? And then I would have one more around the special items that you're guiding for this year.
Christian Ladurner: Yes. I think that the answer on Optronics segment for the 10% is clear, yes. So this is our expectation for this year. The mix is - look, we have 1,800 projects in this company with 1,300 in the Sensors segment. And it appears from time to time that the mix is more beneficial than not, especially when I look at Air Defense, these are excellent margins. But nevertheless, we - on the one hand, we have to reinvest, as I've indicated in the question before. And of course, when we look to a more broader portfolio, which is currently coming up with increased order intake from other areas, then there is a certain impact on the margin. For South Africa, there was also a question. So we have seen now a decline in the business. And there are - as we have seen, there are 2 - there is mainly one topic that we are, I would say, in the Optronics business, much more careful with the contracts we currently approve with regards to export markets, but also with regards to taking on risk for certain contracts. And I think - and we were discussing it quite openly, I think, in January that there are 3 areas in South Africa. There are 2 areas. It's the radar business, it's the electronic warfare business where we have no question mark on that. But with the Optronics business in South Africa, there are some question marks where we make our minds how to move on further.
Oliver Dörre: But maybe just to also give a bit more meat to this bone. We are heavily working with the South African team. So we have a clear action plan in place, which partially mitigated the impact already in 2024, but we see this transformation moving in, in 2025. We are revisiting as well the go-to-market. We are revisiting the portfolio. Part of that is also what we have announced during the Capital Markets Day, we will put our group transformation office into place starting 1st of April. The leader of this new office is already selected and working in the background. And part of this new group transformation despite managing the complex transformational road map on the Hensoldt 2.0 is also putting a new governance to managing our regional companies, where definitely South Africa is a clear focus, and that should build confidence that these issues, challenges that Christian is mentioning are under control.
Sebastian Growe: Okay. That's helpful. And sorry, but I don't know that better. But nonetheless, it just struck me again that you had a margin which was around 20% in the past, and it has effectively halved apparently. So is this all South Africa related if we sort of look through some mix changes here and there? Or what are really the driving forces, what has led to this material decline in the margin in Optronics in particular?
Christian Ladurner: First of all, Sebastian, please separate South Africa from Germany. And in Germany, these are the 2 factors, production ramp-up, plus digitalization of the Optronics portfolio. So we invest - we have invested now the last year around €40 million in digitalization of the Optronics, Periscopes, the same figure we will have this year and also next year and this impact in weighs on the margin. And by 2027, this will be done. And then because we have to be ready because the OEM then wait or have to have the digital periscope in place and then the series production ramps up. And then we will see margins we were used to in the past, as you have mentioned.
Sebastian Growe: Okay. That's helpful. And would you be willing to at least indicatively help us with understanding the impact, which is related to South Africa because I think it takes so much room in the debate, and it would just be helpful to have a better understanding at least how serious it is or eventually not.
Christian Ladurner: Look, Sebastian, when you look at the figures in the Optronics segment, we have talked about last year revenues of around €36 million and an order intake of €47 million. That means order intake is a little bit bigger than revenues, which shows that it's not a complete catastrophe, but we were coming from a business of around €70 million in the last year. So there was a decline in the last 2 years, which we have to address. What Oliver has also laid out that there is a clear action plan in place. But currently, when I compare and when I look at the book-to-bill ratio of this business, it seems that it's currently stabilizing. Nevertheless, we do the action plans, and we have some question marks on that. And as soon as this is clear enough, we will, of course, give some information on that.
Sebastian Growe: Perfect. That's super helpful really. Thank you for that. Really appreciate it. And then the very last one on the special items that you specifically guide to. So I think at the EBIT level, you're pointing to about €50 million at the free cash flow level around €70 million of charges. Can you help us with the timing if and when that's already available? Or do we have to accept that this is just coming through over the course of the year?
Christian Ladurner: No. Look, the timing is clearly heavily H1 because a significant amount of these items will have the impact of the new site in Oberkochen [ph] And since we move to the new site in summertime, then these costs will move out again. This is why we will guide, you see it in the backup for a steep ramp down midterm. So first half year will be high in this regard.
Sebastian Growe: Okay, great. Thank you so much.
Christian Ladurner: Welcome.
Operator: Next question comes from the line of Sash Tusa, Agency Partners. Please go ahead.
Sash Tusa: Thank you very much indeed. Good afternoon. I've just got a question about your interpretation of the Transatlantic alliance following the Munich Security Conference. If it becomes more apparent that America is no longer an ally of Europe, what are the opportunities for Hensoldt in terms of import substitution? And what are the risks in terms of business that you expected to get through your links with the U.S. that you might no longer get?
Oliver Dörre: Well, thanks, Sash, for the question. So first of all, - and that is my very personal opinion also having done my military training in the U.S. and everything. I hope that the hot discussion we are having at the moment will cool down a little bit once the European leaders, and that is what we see at the moment, are taking responsibility and really start spending and are also offering to take responsibility in the sense of capabilities in Europe. Because it's my true belief that NATO as we see it today, will only have a strong future with a Transatlantic partner with the U.S. And a lot of the background discussion we had at the Munich Security Conference and also in the aftermath of the conference are really showing that those discussions are ongoing and especially the further we go down on the levels within the military leaders of the alliance, we definitely see a continued commitment to this Transatlantic relation. I mean looking at the opportunities, for sure, the good thing that we have is we have the foot in the door with the acquisition of ESG and also the work we have done at Hensoldt in the past year. You saw the press releases on some MOUs we have signed with Lockheed Martin and so on. So if this Transatlantic bridge would be somehow weakened, I mean we are the one to cover the back of Germany in order to sustain the capabilities that they have created with the investment in U.S. technologies. So we're in this game. And I think here, the opportunity is that we would do more in the life cycle management of the F-35s, of the CH-47, of the F127 EG [ph] systems that are built, where we are also planning today not only to give services to the German Armed Forces, but only to be able to do build-to-print production and all of this, the current negotiations are addressing the full spectrum with the big players, be it Raytheon, be it Lockheed Martin, be it Boeing from the U.S. So in that regard, I mean, to state it very clear, I think we have a balanced profile between those opportunities. And of course, the risks are the - the tariffs that are in discussions where also we had a first reflects in the media that this to compensate the U.S. tariffs, the Europeans would buy more U.S. equipment. I think that's off the table. We have a clear tendency of buying and continues or even strengthening to buy European, but that's one topic. And on the other hand, it would be an issue for us as we have identified U.S. as 1 of the 5 regional focus areas, considering also our strong business that we have today related to the M1 Abrams tanks, where we delivered the laser range finders where we have really increasing orders throughout last year. And I think we expect more orders also in the years to come. So that would be a bit more difficult. But again, balanced risk and opportunity profile. And in the end, it's not only hope, I think at least remaining confidence that the whole situation will stabilize once Europe is really ready to invest in defense, and that's where they have to work for.
Sash Tusa: Fingers crossed. Thank you.
Operator: The next question comes from the line of Yan Derocles, Oddo BHF. Please go ahead.
Yan Derocles: Yeah. Thank you. Good afternoon. Two questions left on my side. The first one in terms of cash because we have seen that customer advances were clearly higher than expected last year. So do you think that the new environment, the new paradigm guarantees, especially for domestic orders, an increase in down payments in days of turnover compared to the starting point of 2024? And maybe a follow-up on the previous question of - on reinvestments, especially in sensors. Do you believe that there is a chance with the new €200 billion special fund that the German MoD will support you guys in order to finance this new generation of products and consequently to reduce your self-funded part?
Christian Ladurner: Yeah. Thanks, Yan, for your question. So in terms of cash flow, yes, you're right, we were quite good in the last 2 years to balance the increased inventories with advanced payments. I expect in this regard more also in the last years. In Q4, we had especially big advance payments out of the radar business. This was - this is where we performed very well and where all our initiatives really paid off. And this has to be the mood I would like to have because with that, you see that the cash flow performance is excellent. Secondly, before I hand over maybe to Oliver for some political insights, and it's very important to mention that Hensoldt is a high-technology company. We will always be only to sustain in the long term if we continuously reinvest into our products. And this is what we will do for sure also in the next years, especially again, in the radar portfolio. But nevertheless, maybe some words for you, Oliver, to your insights from politics in helping us in reshaping our portfolio.
Oliver Dörre: No, absolutely. And Christian said it very rightfully. I think also today, our R&D investment shows a very good balance between we taking money, investing into our future. But most of the time, that is complemented with also the customer investing, what we call customer-funded R&D. And I would assume that reflecting the discussion also the paper that the fading government still has released in December, the industry strategy paper, defense industry strategy paper is clearly reflecting that we need a step change increase in R&D spending. And that is very clear also facing the dependency on the U.S. with many of the off-the-shelf acquisitions. You know that €35 billion roughly out of the €100 billion first extraordinary budget went to the U.S. buying F-35, CH-47 and so on. So that is clearly the idea that we will never want to face such a situation. And that means we have to ramp up in R&D spending. And that is not only that we see these budgets to be increased linearly to an overall budget increase. But also we have a strong push. As a matter of fact, this lunchtime, I met with the local technical universities. We also, through the Ministry of Economy, see a very strong push of bringing academia and defense industry together, increasing - creating new start-up funds investment into R&D technologies. And that's where, yes, a clear answer to this question. We see a strong opportunity that within this ecosystem, we get some co-financing. But nevertheless, I would stick with what Christian says, we have to take responsibility as well. We have to invest, and then we have a good chance to get a complementary support from the government and partners.
Yan Derocles: Thank you.
Operator: The next question is a follow-up from Poulain Aymeric, Kepler Cheuvreux. Please go ahead.
Poulain Aymeric: I apologize. I thought I removed my question from the line. All my questions have been answered. Thank you.
Operator: We have a follow-up question from Simon Keller, HAIB. Please go ahead.
Simon Keller: Hey, one more question from my side, and that's on M&A. What deal size are you targeting? And by when can we expect your next acquisition?
Oliver Dörre: Yeah. So I mean, you know from previous Q&As that I'm always a big fan that M&A needs to be a means to an end. So that means recently, we have shared with you during our Capital Markets Day on our North Star activity. I think what we also said at the Capital Market Day, and that remains clear. that our focus now building the next M&A target list is on technology, on innovation, as well as, of course, supporting our internationalization activities. You saw that recently, I traveled a lot also discussing with our teams abroad what could be, let's say, catalyzing acquisitions to strengthen those 5 regional focus areas that we have identified. So these ones, I would consider as rather smaller M&As, which are under analysis at the moment. But of course, we are prepared and with the deleveraging that Christian presented and also the very good experience we have from the ESG acquisition, we are prepared. I mean you see that European consolidation. And also in Germany, you had many discussions around the northern shipbuilding yard and so on. So we are closely monitoring that, and I think we're well prepared, as I said, to with self-confidence, act in this game and state the case for Hensoldt. But one thing is also very clear, we will never acquire for sheer growth. And again, the acquisitions will always follow a very strong rationale - strategic rationale, sorry.
Simon Keller: That's very clear. Thank you, Oliver.
Operator: There are no more questions at this time.
Veronika Endres: Well, with that, thank you all for your questions and for listening. And as always, should you have further questions, the IR team is happy to follow up. Have a great day. Thank you, and goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.